Executives: Paddy Dear – Principal Phil Bland – Chief Financial Officer Mike Rosenberg – Investment Manager
Operator: Good afternoon. Thank you for joining Tetragon’s First Quarter 2015 Investor Call. You are all in listen-only mode. The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the company’s conference call press release. This press release can be found on the homepage of the company’s website, www.tetragoninv.com. In addition, questions can be submitted online, while watching the presentation. I will now turn you over to Paddy Dear to commence the presentation. Please go ahead.
Paddy Dear: Thanks very much. Welcome everybody as one of the Principals and Founders of Investment Manager of Tetragon Financial Group I’d like to welcome you all to the investor call. And we’re going to focus today on the first quarter results for 2015. As in previous calls, I’ll provide the introduction Phil Bland, our CFO will review the company’s financial performance for the quarter and then Mike Rosenberg and I will talk you through some of the details. We’ll take questions electronically by our web-based system at the end of the presentation and as well as that we’ll answer certain questions we’ve received since the last update, many of which are actually covered in the body of the presentation. As usual, I would like to remind everyone that the following may contain forward-looking comments, including statements regarding intentions, beliefs or current expectations concerning performance and the financial condition on the products and markets in which Tetragon invests, and our performance may change materially as a result of various possible events or factors. Just like to start here with the first slide on the investment strategy, many of you would have seen this before. But I do post just to remind everyone that the company’s strategy is to select asset classes, select managers, structure its investments and then own an interest in and grow these asset managers thus investing on the one hand and growing asset management businesses on the other, which we believe these two have strong synergies. The TFG own both financial assets as well as operating businesses, and those operating businesses or asset management companies that we’re seeking to grow. There are multiple brands but collectively these are reported in our numbers as TFG asset management. And this next slide shows, those asset management businesses, as I said the multiple brands and this is at the end of Q1 collectively managing approximately $14 billion of capital and employing nearly 200 people worldwide. I’ll go into more detail in a moment, for more detail about the Q1 performance for both the balance sheet itself and TFG asset management, but before that I’ll hand it over to Phil who will cover the financial performance for the quarter.
Phil Bland: Thanks very much indeed, Paddy. As on [Indiscernible] I’m going to be providing some high-level commence on some of the key metrics that we continue to focus on. Paddy will then review some of the underlying business dynamics. So we have four main metrics as you see from our slide, earnings, looking at the operating performance and after share distributions, which are primarily in the form of dividends and AUM growth for our asset management business. Our first measure of operating performance is return on equity or ROE which we defined as net economic income divided by net assets at the start of the year. ROE for Q1 2015 was an annualized 16.8%, so that’s above TFG’s long-term range target of 10% to 15%, reflect a strong start for the year approximately in the business areas. TFG generates a net economic income of $76.2 million in the first quarter, compared with $47.2 million in the equivalent quarter of 2014 that’s an increase of 61%. I will discuss in more detail during today’s call various support [ph] of TFG’s businesses have a strong start of the year, including CLOs, real estate and equity investments in the investment portfolio. Additionally, TFG asset management was boosted primarily by the addition of Equitix for the last two months of the quarter and Paddy will comment on this in a little bit more detail later on. It also finds these measures defined and described in our recent performance report and of course this presentation will be posted presently to the company’s website. Our second measure of earnings is EPS and the RE expressed in terms of EPS it was $0.79 for the quarter. The highest quarterly adjusted EPS results for the company since Q4 2013. I think, you’ll in the financial highlights section of our Q1 report, our EPS metrics is calculated using average U.S. GAAP shares in the period. So we have net economic income which is a non-U.S. GAAP measure, but U.S. GAAP average shares. Let’s take a look at how the EPS was split by major business line. Now we tend to use this view to discuss the performance of the businesses with you round up your U.S. GAAP statement of operations, because the results for any particular business activity content to be split across multiple lines of the U.S. GAAP format. Good example of that is a result of the CLOs, which is typically reflected in both interest income and changes in unrealized or in these realized values on the U.S. GAAP. Brought together on an EPS basis, the CLOs generated $0.40 on the quarter, significant increase on the same period in 2014. So this was a contribution of around 51% of the total EPS for Tetragon, which as you can see - as you’ll see with a 14% compared to Q1 2014 as other asset classes and the TFG asset management’s are now contributing proportionally move in line with strategy. We didn’t sell any CLO positions in Q1, so there are no realized gains in the quarter unlike the gains you saw last year during December 2014. Despite the fact that the CLO 1.0 portfolio is amortizing down as expected, the CLO position held up extremely well. Expected returns as reflected in the discount rates we used to value the CLO portfolio are now lodging between 11% and 13% although the actual return is being generated have been higher in recent quarters. The category of other asset classes here included material positive contributions from real estate investments in GreenOak products, in which TFG is invested and these largely reflect the recognition of 2014 year end independent revaluations that we tend to receive on a bit of time lag, plus the significant contribution from certain direct balance sheet investments including rising to European equities. I will touch on TFG asset management expenses later, but the overall corporate expenses of running the TFG complete structure continues to be driven mainly by two factors. Firstly, the active level of NAV and that really drives both the investment management fees and administrative costs. And the second factor is, operating performance will change in NAV and this is really the key driver of investment manager incentive fees, and typically, if you see an increase in those fees that means that performance is generally pretty good. Turning out to our next metric, which is NAV per share, totally NAV for Tetragon rose to $1.88 billion as at the end of the quarter, which equated to pro forma of fully diluted NAV per share of $17.57. This was another new high for this particular metric, which is a measure of how we build value within the company. This was up 3% from the end of the prior quarter, the end of 2014 as well as being up 4.4% from the end of the equivalent quarter in 2014. We’re noticing that 3% growth in the quarter is after the distribution of the Q4 2014 dividends of $0.1575 per share during that period, so if you adjust for that the actual growth was 4% pre dividend pay away. Our next metric is distributions in the form of dividends per share. TFG continues to pursue its progressive dividend policy with a target payout ratio within range of 30% to 50% of normalized earnings and as a reminder that the long-term target sustainable ROE is between 10% and 15% per annum. TFG declared Q1 2015 dividends of $0.1575 that’s the same level as Q4 2014. On a rolling 12-month basis, the dividend is $0.625 per share represents almost 8% increase over the prior 12-months period and equated to an annualized dividend yield of 6.3% on a quarter-end share price of $9.89. Our fourth metric really focuses on one of the main drivers of TFGAM’s performance. TFGAM grew its total AUM by around 25% in the first quarter 2015, driven a large part by the acquisition of Equitix, although the non-Equitix businesses grew their AUM by about 7% and the most business lines added new fee paying capital in the first quarter. AUM for TFG Asset Management was around $30.8 billion at the end of the quarter up from $11.1 billion at the end of 2014. And you hear more about the developments in the individual business lines from Paddy shortly. Focusing on to TFGAM in particular, let’s now turn to the Statement of Operations and see what’s driven the outgrowth. We continue to leave EBITDA as the most relevant measure of operating performance for TFG Asset Management. Fee income has grown a 169% between Q1 2014 and 2015 and this includes management fees on all the majority owned TFG asset management businesses. It includes realized performance fees where applicable and includes primacies of Equitix’s business as well as third-party CLO fees. We recognize two months of Equitix’s numbers in Q1 following the close of the acquisition in very early [ph] February, and that business made a material contribution straightaway. That said, the other best major business lines also made a growing contribution given higher AUM year-on-year which again Paddy will discuss later. On the operating expense side of things the growth between Q1 2014 and Q1 2015 was driven largely by compensation costs. This was in part explained by the addition of Equitix team which has over 60 people to TFGAM’s business. Well we have also added to part of the investment teams since last year to support the growth that Paddy will discuss shortly, although our infrastructure both in terms of physical infrastructure and our teams continues to be hardly scalable. We’ve also added selectively to the support team, such as in the compliance function, which you believe is very much in line with much of the industry. As I’ve done past quarterly calls [Indiscernible] reflects on TFGAM’s growing contribution to the overall results of TFG. I’ve seen this chart in the last couple of quarters. So the top graph shows that TFGAM’s balance sheet value express in U.S. GAAP turns has now grown to 13% of the total that’s up from just over 6% at the end of 2014. So this is despite LCM having no current carrying value and despite both policy on Equitix being amortized over time on the U.S. GAAP. The bottom chart looks that the change in EBITDA TFG asset management which is increased by almost 200% from Q1 2014 to Q1 2015 as discussed a short while ago. And with that, I’ll now turn it back to Paddy.
Paddy Dear: Thanks, Phil. What I’ll do now is run through the first quarter highlights of each of the asset management businesses that make up TFG asset management. And I’m going to focus on two aspects, the performance of their funds for their inventors and the performance of their business both of which are relevant to TFG share. So starting here with LCM. Performance continued to be excellent and LCM like other CLO managers is benefiting from continued benign corporate default environment in the U.S. The assets under management grew to $5.8 billion at quarter end as you can see from the chart and that included a new issue CLO LCM 18, which issued in the first quarter of $609 million. Moving secondly to GreenOak. GreenOak has continued to have exceptionally strong performance. I’d particularly highlight that fund one in Japan and fund one in the U.S. both of which are likely to be majority fill down in the current year producing realized performance fee, if we hope. As you can see from the chart here, assets under management rose to $4.6 billion in the first quarter. And actually its worth noting that GreenOak is celebrating five year anniversary in May having started in May 2010, and now have a pretty international business with offices in New York, London, Tokyo, LA, Madrid and Seoul. And to give you some metrics on the business, since conception they have an aggregate board about 96 assets worldwide that’s about a $11 million square feet and that’s about $6 billion real estate value that they purchased through that period and sold in that period about $1.5 billion. So a very material growth of the business, and to put in terms of the context GreenOak was rated number nine in the recent private equity real estate analysis of the top real estate managers globally based on the assets raised in the last five years. So it’s showing a very strong start. So I mean number 19 today, number 19 in that analysis, in the top 50 real estate managers. Moving on to Polygon, the first chart here looks as performance for the underlying funds. Strong performance across the board in the first quarter, details obviously in the slide and in the quarterly. I’d just highlight a particular note, the European event-driven equity fund up 6.7% in the first quarter, annualizing 12.1% net investments over the last five years or so, which is obviously been a period of relatively mixed performance in the underlying European equity. And the second slide on Polygon shows the assets under management and you can see a small uptick on the quarter as well. Next is Equitix, the business and the funds continue to perform well in the quarter. Nothing material to note, but assets under management you can see here divided a single £100 million managed account in the first quarter and are currently looking to raise their funds for on the U.K. infrastructure assets. So now I would like to give another slide that we used at year end, and we use this slide to show the composition of the nerves split between the investment portfolio and the asset management business alongside their contribution to earnings, a point illustrated by Phil little earlier. And we do this because now it may not always be the best way to value asset management businesses like TFG asset management, and hence to focus on EBITDA or equivalent, which is shown on slide 12, and as well as in the slide here. And right it reinforces my earlier point about the increase strength of fee income of the business. Slide 20, take this one stage further and gives a breakdown of the assets by the different underlying asset managers. The first column is the TFG net asset value broken down by investments in asset management funds and vehicles. So if I take the top left, the $249 million is investments in CLO equity held in LCM CLOs. Second line item down GreenOak $100 million, now there is $100 million invested in GreenOak funds and vehicles worldwide. If I’m going [ph] to take the second column, this is the TFG net asset value of the asset manager itself. So we were highlighting earlier, you can see LCM carrying value zero, which has been amortized down to zero. GreenOak is marked at fair value $66 million, Polygon at 28, Equitix you can see $125 million and I would just note that that is net of approximately $90 million of debt that we have in the Equitix level. This slide is very useful, as it highlights not only the different accounting approach to various different asset managers, which is Phil has gone into some detail the two extreme’s being LCM held at zero and GreenOak which is minority interest held at fair value, but also it is useful from our perspective as a tool for aggregate risk exposure given obviously there is a correlated risk between holding the asset manager and holding investments in the underlying funds. My next slide looks at the balance sheet composition for the end of the quarter, for the composition of the investment portfolio, but also including the holdings in the asset management businesses. And it shows a continuation over the quarter of rather there to achieve more broadly diversified portfolio. The reduction over the quarter has been an exposure in Q1 has been mainly in CLO 1.0 transactions as they continue to amortize. And the growth in the quarter for new investments has been investments in real estate, in TFG asset management obviously with the addition of the Equitix business. And indeed, new issue CLOs as mentioned in the LCM conversation. And lastly before I hand over to Mike, just final way of looking at the first quarter is a snapshot of where the returns were made on an asset class view. And I would just highlight three particular areas of strength in the first quarter. CLO 1.0 as I’ve mentioned before low default environment, so that outperformed our assumptions and discount rates. Secondly, I would highlight real estate this is certain GreenOak vehicles. As mentioned earlier, we had some sales of assets plus we also had yearend revaluation from some of the funds. And lastly to highlight other equities and as reminder, this is where the manager can co-invest or add a position directly on the balance sheet and that had a very positive first quarter. So with that I’d like to hand over to Mike Rosenberg to talk specifically on some CLO commentary.
Mike Rosenberg: Great, thanks Paddy. So risk retention continues to be a big part of the majority of conversations regarding the CLO market. Despite the implementation for U.S. rules not occurring until December 2016, we are starting to see signs of this impact on the marketplace with some manager bringing risk retention client deal for the market in response to investor demands that the investment managers who have the solution. We continue to believe that these regulations may provide a good opportunity for investors who have capital like TFG to provide solutions for what is most likely the most pressing issue facing CLO managers today. One possible scenario that we envision is that the market will see a slowdown in issuance with total volume of CLO’s dropping from previous years combined with a reduction in the number of CLO manager being able to issue deals. Since CLO is currently the biggest buyers of new issue bank loans at around 64% of the loan market, less issuance of CLO’s may reduce total demand and correspondingly reduce pressure on bank loans price. Additionally, less issuance of CLOs may result in tightening of CLO liabilities due to the lower supply of deals in the market. The combination of lower CLO debt spreads and higher underlying loan spreads all of being equaled may produce higher cash flows and returns to CLO equity investors like TFG. We continue to be positive on CLO equity and are looking to take advantage of this opportunity to new strategies and products focused on these regulatory developments. We believe that TFG support LCM is well positioned to meet the new requirements. We also believe that there may be an opportunity to enter into attractive partnerships from third-party managers on beneficial terms for providing capital to help them meet depending risk retention requirements. We are in the early stages of building products that could focus on these developments, if you have any interest in learning more about these strategies, please contact us and we will be glad to share our thoughts on the opportunity. And with that I’m going to hand it over back to Paddy.
Paddy Dear: Thanks Mike. On the last slide we have, again is one that we’ve used previously which looks that the current cash balances and plan new investments, and that is to say plan new investments for the next 12 months or so. So first [ph], looking at cash, cash at the end of March $275 million and then approximately $90 million of debt the Equitix level giving net cash of approximately $185 million which is approximately 10% of NAV. New investment profile, again as I said this is over a 12 months or so forward-looking process, these numbers actually have not changed from a rolling 12 months from the last quarter. So, we are still looking to invest in CLO equity particularly LCM deals not withstanding my comments on risk retention. We are still looking to invest in GreenOak real estate transactions, this is fold into two categories, one is commitments we’ve already made that have been drawn down, but then obviously, there are new things that will occur over the next 12 months or so. We have not yet invested any money in Hawke's Point, but the plan is to allocate up to $100 million to build the business over the next year or so, so that still been allocated. Infrastructure, we have sort of place hold here of $10 million to $50 million, we obviously have fund for coming up that I mentioned earlier at Equitix, but all with potential for other opportunities, and the last two are the difficult ones to predict, but there are opportunistic investments and obviously new businesses as and when and if we find them. So with that I’m going to move on to some questions and the first one is quite long, but because I mentioned Warren Buffett, I’m definitely going to read it. As Warren Buffett would say a good management is one that increases earnings steadily year-over-year, it’s truthful with our investors and makes those higher earnings every year result in a higher market price. The first two you guys do great which is one, we’ve not invested in this company, but the last one I mentioned clearly isn’t too good with this company considering the very low volume. However I feel that this company is a bargain as its trailing 50% below intrinsic value, which is why I dampened the opportunity to buy it and feel that it was result in a higher market price in the future. My question is what is the management is doing to fix this problem? So where to start, well, I guess, there are multiple reasons for the discount we believe, we don’t believe that the single solutions solve the issue, so I’m just going to sort of talk about a few things that we’re highly focused on, we think we’ll make material difference. The first, I guess, which is the most fundamental of all is continuing to build a good business, the compounds returns to investors for a consistent return on equity. I think the second is to do a job of demonstrating the TFG and TFG asset management’s in particular can grow and have repeatable earnings stream supporting that sustainable or supporting the sustainability to return on equity. Now thirdly, I think it’s over well and good doing that, but we need to have a broader audience and therefore we need to retract analyst coverage to broaden the knowledge in the investment community. And that will lead to sort of fourth which I think would be to attract a broader shareholder and potential shareholder interest. So in summary, I think perform well and broaden the audience which sort of lead make to a second question that I haven’t found any which is - what is the likely timeframe for listing on the SFM and what specific benefit you expect such a move to bring? The SFM for those that aren’t aware is the Specialist Funds Market in the U.K. and we mentioned in the quarterly that this is a possibility for the company. And so, the SFM initiative is something that we could implement in the short-term where we to proceed. So by short-term I certainly mean, this year, but the actual timing is difficult to assess. Our initial analysis shows that being admitted to trade on London’s SFM may open a wider range of potential investors, which we think is key. And also may attract more analyst coverage and getting back from our previous balance that we think both of those incredibly important and could help improve both the share price and indeed the liquidity. Another question is here, what multiple of earnings that or what multiple of earnings I guess all EBITDA that TFG pay for equities? And the answer for that is as we said at the time, if we are buying Equitix on approximately I think we said, five times EBITDA for the 2015 budgeted year. Question here, what sort of new businesses that interesting to you in terms of asset classes, you have hedged funds, real estate, infrastructure, CLOs, mining finance, what you think is missing? I don’t have a specific answer to that in terms of asset classes, lot of things that we’re looking at. So [Indiscernible] for disappointing the question without having a specific answer, we do look for as we have said in the past, we look for businesses where we believe there is intrinsic alpha and that is decided that the Alfred [ph] is sustainable. We think that is critical that we have a best-in-class management team to exploit that alpha and that will hopefully at their own out from top of the intrinsic alpha in the business. We need durability, we need to be have the scalability and so those are some of the things that we’re looking for, but notwithstanding that the alternative aspect environment is a very broad one and those are some of the core things we are looking for. Next question is, why not obtain a line of credit to become fully invested? I think the - the few things that to tackle in this, we would ideally like to have a revolver for the business as a whole, which would give us flexibility to I think the question implies, when our cash level is possibly a little bit lower, it would allow us to make acquisitions without having the whole lot of cash on the balance sheet. It would allow us to look at opportunistic investments to the rise in the market. So that is something that we are looking at for the long-term, there is no guarantee that we will be able to achieve that. So that is something we’d like to have in mind. But I would - there is one other staying what I guess implicit about being fully invested. I would just remind people that, many of the investments we have are levered at the individual level of the CLO equity is the levered investment in U.S. corporate loans or European corporate loans. The real estate fronts that we are investing with GreenOak predominantly have leverage at the individual building level and that’s - let’s say, if we would take an average of 65% loan to value and obviously they have leverage in them. The convertible funds that Polygon runs for example has leverage it in, so although, yes we would like to be more flexible at the balance sheet level. I would remind people about many of the investments we have - do have built-in albeit non-recourse leverage at the investment level. Next one here is, primary bank loan issuance, we have done materially in Q1, but CLO issuance with up, what do you think is the actually correlation between the supply in each market, which I think is probably the [Indiscernible] Mike?
Q - Mike Rosenberg: Yes, thanks. We will typically do see a correlation between bank loan issuance and CLO issuance, I think the beginning of this year and particularly in March was interesting, because we saw a lot of CLO issuance and I would personally think it was related to two factors. One is, manager’s trying to get deal from market before the market or specifically investors were demanding that there will be risk retention complaint. And two there are a lot of outstanding warehouses as we went into yearend that suffered some energy mark-to-market losses, as energy names rebounded and those portfolios of warehouses rebounded they were quick to try to get to market to offload those upper banks balance sheets. Since then we have seen a bit of a slowdown in the CLO issuance market recently, and a lot of that I think is tied towards the slowdown in the primary bank loan issuance, which is your normal correlation that we would expect to see.
Paddy Dear: Thanks Mike. And there is another question here on CLOs that is, can you provide an estimated range for cash flow from the CLO portfolio for the remainder of 2015 and for 2016? And I’m afraid the short answer is no. I think most people aware of the CLO market how variable the things off and that’s not something that we’d be happy disclosing given the potential variability. Now a question here. Why aren’t you diverting all cash flow to buybacks, given the discounted valuation? Well I guess many of you aware we had lots of questions on buyback share repurchases over the years, and I think the easiest way for us to answer is. We try to take a balance you looking at the pros and cons at any point in time. We’re always evaluating the uses of cash, and by that I mean it’s an ongoing active decision about new investments that we’re making and of course dividends and/or share buybacks. Ultimately we believe in the long-term growth and success of the business and that is about making good investments and building valuable asset management businesses. We also believe that share buyback can be a useful way to among other things increased amount of the share, its buying at a discount and the account indeed sometimes be positive for the share price. However buyback can have limitations, they can reduce the liquidity of the shares, they obviously can’t take risk in the existing assets, so they don’t diversify. They don’t create new value for the business, so there is just several things on the con side. But I would say I think for IPO we’ve spent, I think about $325 million on share repurchases, which is pullback somewhere over $40 million shares in the process. So it’s something we clearly believe in and we’re very active and have been very active in share repurchases, but I think equally clearly given the share price behavior over that time, buybacks alone do not prevent shares trading at a discount to NAV, and so in short they have a place and we have been very active in share buybacks that have - you some color is to how we look at them [Indiscernible] potential use of the cash. And with that, that comes to the end of the question. So thank you very much for joining us and look forward to speaking soon. Bye.
Operator: That does conclude our conference call today. Thank you for participating you may all disconnect.